Operator: Good day and welcome to the Allient, Inc. First Quarter Fiscal Year 2025 Financial Results Call. All participants will be in a listen-only mode. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Craig Mychajluk, Investor Relations. Please go ahead.
Craig Mychajluk: Thank you, and good morning, everyone. We certainly appreciate your time today as well as your interest in Allient. Joining me today are Dick Warzala, our Chairman, President, and CEO; and Jim Michaud, our Chief Financial Officer. Dick and Jim will walk you through our first quarter 2025 results, provide a strategic update, and share our outlook. We will then open up to call for Q&A. You should have a copy of the financial results that were released yesterday after the market closed. If not, you can find it on our website at Allient.com along with the slides that accompany today's discussion. If you're reviewing those slides, please turn to slide two for the Safe Harbor Statement. As you are aware, we may make forward-looking statements on this call during the formal discussion as well as during the Q&A. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated on today's call. These risks and uncertainties and other factors are discussed in the earnings release as well as with other documents filed by the company with the Securities and Exchange Commission. You can find these documents on our website or at SEC.gov. I want to point out as well that during today's call, we will discuss some non-GAAP measures, which we believe will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP to comparable GAAP measures in the tables accompanying the earnings release as well as the slides. So with that, please turn to Slide 3, and I'll turn it over to Dick to begin. Dick?
Dick Warzala : Thank you, Craig, and welcome everyone. We began 2025 with solid momentum, delivering meaningful sequential growth across revenue, margins, EBITDA, earnings, and cash generation. These results reflect the operational and strategic discipline we've instilled across the company and our commitment to driving long-term value, even amid a complex external environment. As expected, year-over-year comparisons were challenging, particularly due to continued demand softness in the industrial automation and vehicle markets. However, our performance this quarter is a clear indicator that our strategy is gaining traction and that our execution is strengthening. We are building a more resilient and responsive company. Revenue increased 9% sequentially, and gross margin expanded 70 basis points to 32.2%, driven both by volume and mix improvement. Operating margin rose 130 basis points sequentially to 6.6%, and adjusted EPS increased nearly 50% from quarter four, reaching $0.46 per share. Our Simplify to Accelerate NOW program continues to serve as a cornerstone of this transformation, driving efficiency, improving responsiveness, and positioning us to scale. It is enabling us to realign resources with demand, improve collaboration across functions, and streamline production for both near-term performance and long-term growth. We continue to navigate a dynamic global landscape with focus and agility. The steps we have taken to reinforce operational flexibility are allowing us to act decisively, whether that means strengthening our supply chain, securing alternate sources of supply, or managing inflationary pressures. In parallel, we have taken deliberate steps to reduce exposure to geopolitical risks, especially around tariffs and rare-earth magnet sourcing, which has become more complex due to China's export restrictions and high-performance magnets. I will speak more about our mitigation strategy during my closing remarks. Strategically, we remain aligned with the growth themes shaping our markets, electrification, energy efficiency, automation, and infrastructure investment. These are long-term trends, and we believe Alliant is well-positioned to capitalize on them. With that, let me turn it over to Jim for a more in-depth review of the financials.
Jim Michaud: Thank you, Dick, and good morning everyone. I am starting on Slide 5. First quarter revenue was $132.8 million, down 9% year-over-year due to the anticipated demand softness in the vehicle and industrial markets, compounded by an unfavorable $1.8 million FX impact. On a sequential basis, revenue decreased $10.8 million or 9%, reflecting solid execution and improving momentum in targeted areas like power quality and defense programs. Sales to U.S. customers represented 52% of revenue, compared with 58% in Q1 last year, with continued contributions from Europe, Canada, and Asia Pacific. Looking down our results further, let's take a closer look at how each of our key market sectors performed year-over-year. Aerospace and defense saw a 25% increase, reflecting timing of key defense and space program deliverables. We are actively pursuing several promising opportunities in the defense sector, which we anticipate will contribute to continued growth in the future. Medical remained steady, with strength in surgical equipment and tools and mobility solutions. Industrial markets were mixed, with our power quality solutions for HVAC and data center infrastructure generating solid growth. However, our total industrial market sales were down largely due to reduced demand in industrial automation. Vehicle revenue declined 34%, in line with expectations, reflecting both continued softness in power sports demand and our intentional shift from lower-margin programs as we focus on higher value, managing enhancing applications aligned with our long-term strategy. Let's move to Slide 6 for the composition of our revenue over the trailing 12 months, along with the key catalysts driving these changes. The industrial sector is our largest market, contributing 47% of the trailing 12-month sales. This market was primarily driven by strong demand for power quality solutions, as well as growth in material handling and semiconductor equipment. Industrial automation sales slowed significantly over the past year, as inventory levels and new projects have reset across the industry. Similar to the quarter, vehicle demand remained under pressure, particularly due to shifting recreational spend trends in power sports. While we saw stronger sales in surgical-related products, our medical market was down 2% on a trailing 12-month basis due to softness in pump-related products. The aerospace and defense growth reflects variability driven by contract award and government budget cycles combined with long lead times. Finally, our distributor channel, while smaller, showed modest growth, representing 5% of total sales over the trailing 12-month period. The diversity of our end market continues to be a foundational strength of the Alliant model. This broad market reach, combined with our global customer base, helps mitigate volatility in any single area and enables us to allocate resources where we see the greatest return. As shown on Slide 7, gross margin was 32.2%, down just 10 basis points compared with the same period last year, despite lower year-over-year volume. Sequentially, gross margin expanded 70 basis points and was driven by higher volume, better mix, and continued implementation of our lean toolkit across the organization. Importantly, this marks the third consecutive quarter of gross margin expansion, up a total of 230 basis points since our low point in Q2, 2024. Moving to Slide 8, on a year-over-year basis, operating income was down due to lower volume and restructuring charges of $1.5 million versus minimal charges last year. In fact, when looking at operating expenses as a percentage of sales, restructuring and business realignment costs from the recent quarter contributed 90 basis points to the total 160 basis point increase. The remaining impact was largely reduced operating leverage on lower sales volume. Sequentially though, we saw a 60 basis point improvement in the operating cost ratio as we benefited from operating leverage, cost discipline, and the impact of our Simplify to Accelerate NOW program. As a result, operating income for the quarter was $8.8 million, with operating margin at 6.6%, up 130 basis points from Q4. Slide 9 highlights our bottom-line results, showing continued sequential improvements. I do want to call out that while our debt declined, our interest expense increased approximately $247,000 in the quarter. This was primarily driven by higher interest rates. The biggest driver was the expiration of two favorable interest rate swaps in December. They were replaced with a new swap at a higher rate, still competitive for the current market, but not as low as before. We also saw an increase compared to the prior year first quarter in the rates we were paying under our credit agreement related to the amendment made last fall. On a positive note, the benchmark interest rate we are tied to, SOFR, came down year over year, which helped offset some of the increase. As for our results, net income was $3.6 million or $0.21 per diluted share, compared with $3 million or $0.18 per diluted share in the prior period. Adjusted net income rose to $7.6 million, or $0.46 per share, up from $0.31 in Q4. Adjusted EBITDA was $17.5 million or 13.2% of revenue, up 160 basis points sequentially. These gains reflect our improving mix and the structural efficiencies we have been driving. Turning to cash generation and our balance sheet on Slides 10 and 11, operating cash flow was $13.9 million, up 52% from last year's first quarter, and up 12% over the sequential fourth quarter due to improved working capital. We ended the first quarter with $47.8 million in cash, an increase of 32% since year-end 2024. As a result, our net debt decreased by $13.6 million, bringing it to $174.4 million. Our leverage ratio, which we calculate as net debt divided by trailing 12-month adjusted EBITDA, improved to 2.91x. This was down from 3.01x at the end of December. Our bank-defined leverage ratio, which excludes certain items like foreign cash, came in at 3.56x at quarter end, and we will remain in full compliance with our debt covenants. These results are aligned with the three core financial priorities we have outlined for 2025. First, inventory management remains a top priority. We continue to drive improvements as our inventory in turn improves sequentially from 2.7 at the end of 2024 to 3.1 at March 2025, by reducing inventory levels through targeted planning, better alignment with customer demand, and focused execution in our supply chain. These efforts resulted in freeing up cash and improving cycle efficiency while still ensuring product availability for customers. Number two, cost discipline remains embedded in our operations. Through the Simplify to Accelerate NOW initiative and broader lean manufacturing efforts, we continue to identify and remove inefficiencies across the enterprise. These actions are continuing not just to improve profitability but to better cash conversion as well, whether through lower overhead, streamlined operations, or smarter procurement. Lastly, strengthening our balance sheet by reducing debt is a critical initiative of our financial strategy. The $13.6 million sequential reduction in net debt reflects higher operating cash flow and prudent capital allocation. As we progress through 2025, we expect to continue reducing debt, creating more flexibility for reinvestment and strategic execution. Capital expenditures were $1.1 million for the quarter, and we still anticipate capital spend of $10 million to $12 million for the full year 2025. With that, if you would advance to Slide 12, I will now turn the call back over to Dick.
Dick Warzala: Thank you, Jim. We saw solid order momentum across key solution areas in the quarter. Total orders increased 17% sequentially and 13% year-over-year, primarily driven by strength and HVAC applications for data centers and A&E programs. This translated into a healthy book-to-bill ratio of 1.04x. Backlog was up 3% sequentially, and while we continue to manage through foreign exchange pressures and customer inventory realignment, underlying demand across our core growth areas remains constructive. As we look ahead, our focus is clear, executing on our strategic roadmap with precision and agility. We recognize that the external environment remains fluid. Geopolitical, regulatory, and economic uncertainties persist, but Alliant is built for resilience. Our diverse customer base, global manufacturing footprint, and deep engineering expertise position us to respond decisively and adapt with competence. Our Simplified to Accelerate NOW program is playing a central role in enabling operational leverage, aligning our business more closely with evolving customer needs, and positioning us for sustained value creation. For 2025, we are targeting an additional $6 million to $7 million in annualized cost reductions, with benefits expected to begin materializing later this year. At the same time, we are taking proactive steps to address the shifting global trade environment, specifically evolving tariff policies and the restrictions on magnet exports from China. Given the mitigation strategies in place and those in progress, we believe our exposure is manageable, although it will require a strong focus from our team. To provide perspective, while our annual spend on China-sourced magnets is currently less than $8 million per year, only a small subset, approximately $1.5 million of that, is impacted by the new restrictions due to the heavy, rare-earth materials. We have implemented a multi-pronged mitigation strategy that includes partnering with suppliers outside restricted jurisdictions, actively managing export licensing requirements, increasing safety stock to protect against extended lead times, leveraging our global manufacturing footprint to ensure continuity, and most importantly, advancing motor technologies that significantly reduce or eliminate rare-earth content without compromising performance. This proactive and disciplined approach not only protects continuity of supply, it strengthens customer trust, particularly in critical and regulated markets. From a tariff perspective, we don't expect a material impact going forward. In Q1, the effect of evolving tariff policies was minimal. Thanks to our global footprint and prior steps to align local manufacturing with local sales, we estimate that incremental tariff-related costs could be approximately $3 million at the high end for the remainder of the year before any mitigation efforts. These efforts will primarily focus on a combination of passing costs through to customers and supply chain optimization. Across the markets we serve, we are seeing signs that customer inventory adjustments are nearing completion. As we move toward mid-year, we expect to see greater demand stability and improved order flow, supported by both emerging growth opportunities and favorable long-term macro trends. Internally, we remain steadfast on our operating discipline, focused on cash generation and commitment to debt reduction, all while continuing to invest in the capabilities that define Alliant as a long-term partner of choice in motion, controls, and power technologies. Our goal is unchanged; sustainable, profitable growth that delivers value to our customers, our employees, and our shareholders. And with the foundation we have built and the momentum we are carrying, we are confident in our path forward. With that, Operator, let's open the line for questions.
Operator: Thank you. [Operator Instructions] And your first question today will come from Greg Palm with Craig Hallam. Please go ahead.
Greg Palm: Yeah, good morning. Thanks for taking the questions, and congrats on the better results here.
Dick Warzala: Thank you, Greg.
A - Jim Michaud: Thank you.
Greg Palm: I'd love to just start with maybe a little bit more sort of a picture on the environment, both from a demand and supply, and maybe you can weave in a little bit more about tariffs. But are you – what do you see in quarter-to-date? Any change in demand? Any hesitancy just given some of the news headlines and the tariffs and all that stuff?
Dick Warzala:  Sure. So let's start with demand, Greg, your first question here. I would tell you that we've seen very positive signs here at the start of the quarter. Demand is continuing, and given, if it continues in the fashion it is, we will definitely see some incremental growth. The uncertainty with tariffs and agreements, I think, if we're understanding correctly, there's an announcement today between the UK and the U.S. I think that'll be a positive sign. And as others begin to follow, I think stability will really help us sustain our momentum as we go forward. Tariffs, we're working through them. And I think as we've provided numbers out there, and our exposure for the rest of the year, and at the high end of about $3 million, we talked about mitigation strategies, which would be to pass those costs on, that's our intent. And also, looking at alternative sources of supply, we had started a process several years ago to localize supply chains and to build local and we're continuing down that path. We think it's a wise move now, and it will continue into the future. With regard to the challenge that we're facing immediately, that is the high rare earth magnets and the content that we have, and that is definitely a focused effort. There are many actions occurring in the supply chain. Some of them are going to take longer than others to be implemented. But I think our team is doing a great job in understanding what the challenge is there, and making sure that we keep our customers supplied. Many different areas that we're working on there to mitigate that. So I would tell you that all signs are positive, and we're very encouraged about the continuation of our Simplify to Accelerate NOW, driving out costs while simplifying our organization and being much more responsive to our customers.
Greg Palm: Who knows what ends up happening with trade deals and tariff rates and whatnot. But how do you think you are positioned versus the market versus some of your competitors? I'm curious, just given your scale, the footprint, the localization efforts that you talked about, I mean, is there a chance that you end up winning business in an environment like this?
Dick Warzala:  Certainly. And because of our footprint that we already have and some of the opportunities that are presented to us, I think we're in a pretty good position in some cases where we have already resourced and/or are producing product in the U.S. or North America that puts us in a pretty good position. So we think there are opportunities and we think that that will help drive some growth. Again, there's challenges as well, and we talked about that, but I do think our team is really well focused. I can't speak for our competitors as far as what their actions are. They haven't told me lately what they are doing, but I will say that we focus on what we can do. And I'm confident that our team is really doing everything necessary and what they need to do to make sure that we protect our customers and we continue to drive growth.
Greg Palm: I guess maybe a different way to look at it is, are you seeing any more like inbound interest activity from either current customers with new applications or even new customers in total?
Dick Warzala:  Yes. And new applications, new customers, existing applications where we may have lost some of the business based upon pricing and foreign content that is now being presented to us again to take another look at. So all of those activities are ongoing right now, and there's some – and I won't get into the details of some of them, but there's some pretty exciting ones that are moving very, very fast.
Greg Palm: Okay. All right. I will leave it there. Thanks.
Dick Warzala:  Thank you, Greg.
Operator: Your next question today will come from Gerry Sweeney with Roth Capital. Please go ahead.
Gerry Sweeney : Good morning. Thanks for taking my call. Really quick question and maybe fits to just overall strategy as well. And I apologize, I jumped on a touch late. But in the prepared remarks you talked about the vehicle business and shift away from lower margin, sort of higher revenue related work to higher margin opportunities. Does this underscore maybe a larger shift that's going to go on in the vehicle space? I mean, historically, some of that business was some of your older, more mature business, lower margins, and less maybe systems oriented for lack of a better word. But just curious, what's going on there over the longer term.
Dick Warzala:  Sure. So I will say this to you, is that if we go back in time, as we announced the wins that we had in the vehicle markets, and we said that those would replace existing business that we had for when we acquired a primary supplier to that market. And that we would correct some of the margin challenges that we had, and it has absolutely done that. So the old business that was not favorable, in some cases negative margins or profitability have converted to a reasonable return based upon the market we're serving. We also have made a conscious decision in the company and changes have occurred that says we are no longer chasing high volume automotive applications that we would consider could be, or could be considered commoditized. If there's a specialty application that fits what we offer, and the margins are acceptable to us, then we will pursue it. But some of the past investments that we had to make in that marketplace are pretty heavy, and they take years before you start to realize any benefit from it, and we're out of it. It's just a decision we made, and it's done. I will say that we're very pleased with our current customer base and the applications that we're on. We bring some specialty capabilities and knowledge there, and that's where we want to focus. That's more us than what the other markets were.
Gerry Sweeney : Going off of memory, several years ago I think you won some programs that sort of ramped up for a couple of years. I think they are more European or Eastern European based, and they kind of trend down. Hearing what you are saying is programs are going well, running through, but you are going to pursue less of those programs in the future and focus more on…
Dick Warzala:  Yeah, what I would say is this. So existing programs is where we have – we bring something to the table in terms of the value, and it's not, as I said, commoditized. We absolutely will continue to support our customer base, and we'll move forward on those and continue to support those as we go forward. What we're not doing anymore is those are long-term, high-investment in…
Gerry Sweeney : [Cross Talk] What high investment?
Dick Warzala: Upfront high investment in terms of design, capital investment and you’ve got to be prepared, two and three and four years in advance before you start delivering any product and starting to see any return on that. Our business has changed, and the dynamics of our business that has changed says to us that, look, let's focus our efforts where we truly bring additional value and more value, and it doesn't require that high-upfront investment and waiting long periods of time before you start to see a return. And hope that there aren't any changes that are occurring in that market. And I think, as we've seen over the past, there's always something that disrupts it and always pushes it to the right, but fortunately I think we're in a good spot right now. We've got a good balance of leveraging the capabilities that that brings to us. We like the volume because it gives us enough core unit volume to be competitive and to leverage that into some of our other markets that the margins can be appreciably higher. So, it is correct. I mean, it's a definite shift. It's been going on for the last year, and we're really focused on it.
Gerry Sweeney : I suspect as that shift continues, I mean, that's going to help margins and other returns on assets and things like that. Is that fair to assume?
Dick Warzala:  Yes, it's fair. It's fair.
Gerry Sweeney : I lied. I had two questions, sorry. Easy one. Inventory turned 2.7 [Cross Talk] I think it should be. Inventory was 2.7, you highlighted 3.1. I forget exactly where you were a couple of years ago, but the world has certainly changed in terms of supply chain tariffs, all that stuff. But what would maybe aspirational target, where do you think you could get to on inventory turns, if 3.1 is, that may be the answer. I think we want to continue to obviously improve on the 3.1. I think, as you can appreciate, what we might pause on is what steps we have to take in the supply chain in collaboration with our customers to manage the short-term noise that the current geopolitical and trade policies are. So, I think we're very well poised to continue to improve that number, but I'm a little bit cautious, only because of, yeah, we might have to take some steps to make some investment in inventory, in collaboration with our customer base in order to manage the short-term.
Gerry Sweeney : Okay, that's fair. I mean, probably low-hanging fruit has been taken. There's probably opportunity, but it takes some planning, maybe a little bit of strategic investment, etc., to move it to the next level.
Dick Warzala:  Right.
Gerry Sweeney : Okay. Thanks, guys. I appreciate it, and congrats on a nice quarter.
Dick Warzala:  Thank you, Gerry. Thank you.
Operator: [Operator Instructions] And your next question today will come from Orin Hirschman with AIGH Investment Partners. Please go ahead.
Orin Hirschman : Hi. Congratulations on all the progress, especially in a difficult environment. You know, you mentioned…
Dick Warzala:  Thank you, Orin.
Orin Hirschman : You're welcome. You mentioned some very specific numbers in terms of how much you consume of the rare earth elements that go for the magnets or your motors and you mentioned some of the mitigation strategies that you have. I guess my question is, that raw number of $8 million or the $1.5 million number, what is that translating to? I know it's not exact. You don't have an exact number, but does it translate into $100 million in motors, $50 million in motors? What is that little amount of material or maybe not such a small amount of material translate into in terms of having to protect sales, if there is a metric that you could give us?
Dick Warzala: Yeah, fair question. I think a couple of things just to point out, is that we have the granularity on that, because we have a team that's been assigned to that and been doing a great job of making sure that we fully understand what the potential impact may be. We can set priorities in the proper manner, and we can set the mitigation strategies down the road. So, this is a complete collaboration. I mean, it goes back to – and we've had a number of acquisitions. So we have a significant supply base. Some of it, it's fragmented and it's small in some cases. If we truly take a look at the numbers, I mean, as it spreads across different markets, the value of the magnets within an application can change dramatically. To give you a number, and I'll give you, let's just call it an average number, so you get a feel for the impact, but typically, and that’s typically – and the range can vary a lot. Let's say, 20% of the cost of goods sold could be in magnet cost. If you got $1.5 million that we're talking about, you can do the math on that. We're talking seven and a half, $8 million in sales, at a cost of goods sold level. Translate into a gross margin in sales, without me giving you exact numbers, I think you can do the math and you can kind of figure that out. What's most important is what you pointed out is that the granularity we have gives us the opportunity now to really go attack this. I just have to compliment our internal teams who've worked hard at this. This happens, unfortunately, in my career, this happens every six or seven years. We see magnet prices, if you go back in time, there's no secret, China bought the market and the prices dropped drastically. You go back 20 years ago, they dropped drastically. And once China owned the market, they started to increase prices and they increased them dramatically and then you had to pay up front. I mean, if you didn't commit to paying up front immediately, you would not have a source of supply. And every six or seven years, we kind of go back through this cycle again and that's why it's very important for us. We'd already taken mitigation strategies to design those materials out where possible and/or to find other sources of supply. As the prices have increased, it's opened the opportunities for more suppliers around the world, and this time was a little bit different. Not was it just a pricing challenge, it became, could you even get them? And a supply challenge, with a threat of not supplying magnets. There are certain selected areas that China has said they will not ship magnets in defense applications to the U.S., okay. I don't want you to think this is just a U.S. issue either. This time, it's applied around the world. So even our sources, our companies that manufacture product around in other regions besides the U.S. and North America are impacted with these tariffs or the restriction of shipping, they are further asking for more information. And all companies in our business are facing the same challenge and same concern about wanting to know what the applications are, the end use, and show pictures of what we're doing. I don't have a great deal of faith that that's going to stay within our suppliers and that there may be some reach in and do that. So there's a significant long-term risk and there's a reach in now that we're moving fast and we'll continue to move fast, but the data we have shows us where we have to focus, okay.
Orin Hirschman : Okay. And just going back to follow-up on the last question, just my second question is just in terms of the recreational vehicles, those type of vehicles, how much of that of your business is still involved there, roughly from a revenue perspective, if you could say? Does it bottom here? Does it feel like its bottoming? It’s something that you are eventually going to exit? I apologize because I'm not more familiar with the strategy there.
Dick Warzala: No, I wouldn't say. So let's clarify what we call recreational vehicle market and so forth and off-road vehicles. I mean, our vehicle market is made up of several different field of applications, as I would call it. And when we talk about automotive per se, and you talk about recreational vehicles, there are two specific areas. In addition to that, we're in buses, we're in trucks, we're in construction, we're in marine, we're in rail and so forth, okay. So I would say this to you. The recreational vehicle, which as we talk, as we say that, the recreational vehicle is also made up of vehicles that are used in industrial and commercial space. It's the same vehicles, that are same core vehicle is you'll see at the side of the road, you'll see in construction projects, you'll see in large facilities, so on golf courses, etc. So I would tell you that there is a piece of that that's not consumer based. And maybe if I gave you a number of 40% to 50%, that would be pretty accurate. There's also defense applications for that, so we're not exiting it. We can compete there. We can certainly compete in a level and fair fight, okay. We have a – I’m very confident in our team and we've come up with – we kind of led the changeover into power steering on those vehicles and we're the innovators and the early, and enjoy the early part of that business. And of course, as it's grown, competitions come in. So we recognize where we are and I would just say to you, if you know sometimes the circumstances are beyond our control, if a company is willing to accept no profit to buy the business, then we're not, okay. We're not in the business to just do things for the sake of doing them. We're in the business to make a profit. And I think as time goes on, especially what we see happening in the market today, I think we have certainly an opportunity to compete in remembering, half of that business is industrial and commercial, not just consumer based.
Orin Hirschman : But does it feel like the consumer part of it [inaudible]?
Dick Warzala: Yeah, you might be better off asking the manufacturers themselves. They do have reports that come out and they talk about their market share and what they see happening. And I think if I can just go ahead and restate some of what we've heard is that there's challenges. I mean, that they're having challenges. And there was an over demand, the demand during COVID that really peaked. And now people have the vehicles and consumer spending is a little bit more cautious and typically you would see upgrades. And I think if the sentiment about the long term prospects and the economy and so forth go well, you'll see a return. You'll see it start to come back. But I think that there's – listen to the conference calls, if you will, of the major suppliers in those markets, and I think that's kind of what they're saying, there's caution there. But I think there's optimism as well that we'll come back.
Orin Hirschman : Great. Thank you.
Dick Warzala: Thank you.
Operator: Your next question today will come from Robert Van Voorhis with Vanatoc Capital Management. Please go ahead.
Dick Warzala:  Good morning Robert.
Robert Van Voorhis : Hey, good morning. Great quarter. I appreciate you taking time. Just sort of a quick, I would say boring question, and maybe it's better for Jim. But can you just comment on, as revenue starts to ramp, as we're coming out of this period, what kind of operating leverage do we expect? Is there going to be a lot more investment in SG&A to compensate for that? My assumption is probably not, but I just thought I would ask.
Dick Warzala: Yeah, no. You know obviously, we're very focused on our Simplified and Accelerate NOW program. That's going to continue into the very near term. And so our focus is on what we said. We're looking to continue to manage our debt. We'll make strategic investments as I mentioned before, in inventory, where we think it's appropriate. But our goal is to continue to manage our cash flow and allocate it appropriately as we see fit during the rest of 2025.
Robert Van Voorhis : Yep, all right. Well, that's it for me. I appreciate it. Keep going.
Dick Warzala: Thank you.
Operator: That concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Dick Warzala:  Thank you, everyone, for joining us on today's call and for your interest in Alliant. We will be participating in the Craig Hallum Institutional Investor Conference on May 28th in Minneapolis, and then the virtual Northland Growth Conference on June 25th. Otherwise, as always, please feel free to reach out to us at any time, and we look forward to talking to you all again after our second quarter 2025 results. Thank you for your participation and have a great day!
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.